Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Natuzzi Full Year 2015 Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time. Joining us on today's call from Italy are Natuzzi's Chairman and Chief Executive Officer, Mr. Pasquale Natuzzi; the Chief Financial Officer, Mr. Vittorio Notarpietro; the Chief Brand and Sales Officer, Mr. John Luca Parelgi and Francesca Cocco, Investor Relations, Manager. As a reminder today's call is being recorded. I would now like to turn the conference over to Francesca. Please go ahead.
Francesca Cocco: Good morning to our listeners in U.S. and good afternoon to those of you connected from Europe. Welcome to the Natuzzi full year 2015 conference call. After a brief introduction, we'll give room for a Q&A session. Mr. Pasquale Natuzzi together with the Management Team will be glad to answer to your questions. By now you should have received an email copy of the Natuzzi earnings results. If not, you can find this information within our Website at www.natuzzi.com under the Investor Section or please call our Investor Relations Department at +39 080 882011 to receive the results by email. You can also email information requests or questions to our email address investor_relations@natuzzi.com. We'll respond to you as soon as possible. Before proceeding, we'd like to advise our listeners that our discussion today could contain certain statements that constitute forward-looking statements under the United States Security Law. Obviously, actual results may differ materially from those in the forward-looking statements because of risks and uncertainties that can affect our results of operations and financial condition. We have discussed such risks and uncertainties, which have in the past affected and may continue to affect our results of operation and financial condition in our Annual Report on Form 20-F for the fiscal year ended December 31, 2014 end of April will be read at December 31, 2015. These reports are available within our Website www.natuzzi.com or from us upon request. You may also obtain a copy of our Form 20-F filing from the United States Securities and Exchange Commission. And now I'd like to turn the call over to Mr. Vittorio Notarpietro.
Vittorio Notarpietro: Thank you, Francesca and welcome everybody. We're pleased to announce 2015 full year and in particular the 2015 fourth quarter results that showed a positive EBIT and positive net results after taxes too. In a nutshell, what has company has made in 2015, improved contribution margins per units sold improved profitability of directly owned stores, reviews manufacturing cost due to the improved efficiencies, lowered SG&A cost in absolute terms. Let me comment if I may on the Natuzzi achievement from the perspective of the cash flow statement, which demonstrate the results of the management enforced to remedy 2014 negative results. Please follow me with the cash flow statement we included in the press release we sent you. As you know net results improved by approximately €33 million from a 2014 loss of €49.4 million to 2015 loss of €16.5 million as a result I said of an improvement in the quality of sales and greater efficiency in manufacturing. Cash improvement in cash flows has been positively impacted by favorable exchange rate and lower raw material prices, in particular led for a total of approximately €10 million. The company has discussed in previous communications putting place in 2014 some selected adjustments on sales price and in addition improve the mix of products sold. Then the company completed in 2015 a three-years restructuring plan in the directly operated store chain, in particular during the three years period from 2013 through the end of '15, 23 unprofitable stores were closed. Six in Spain, five in Italy, five in U.K., five in China, one is Switzerland and one in U.S. As of the end of 2015, the company had 57 [U.S.] directly operating stores running and most remarkable improvement in the 2015 performance were achieved in Italy and Spain. Additionally during this period, some of those owned stores were relocated, for example in New York City the flagship store was moved from Soho to Madison Avenue. SG&A cost reduction achieved deployment results after some years from the implementation the [ITC] has given us the possibility to reorganize some activities while reducing labor costs. Now I would like to highlight other improvements in the cash flow. No monitory items such as depreciations for example, were exactly the same as prior year positively contributed €16.8 million. Working capital improved by €14.1 million due to lower inventory at trade receivables in particular receivables management was favorite by the true sale program build with most important Italian Bank. The company then invested an additional €4.1 million in cash for restructuring activities mainly in Italy. Overall the company generated positive cash of €10.3 million from operating activities compared to negative cash of €35.4 million in 2014. Industrial investments were balanced by cash received from the State of Brazilian plan. These financial activities gave positive contribution of almost €8 million. All in all the company improved its cash position of about €20 million passing from a positive €32.8 million at the beginning of the year to a €52.5 positive cash position as of December 2015. So the net financial position, which includes cash minus short and long term financial debt was €2.8 million positive at the end of 2014 then became negative by €11.1 million at the end of June 2015 and again positive by €14.4 million as of December 31, 2015, as a result of positive cash generation in the third and fourth quarter 2015. Overall the company is encouraged by our continued improved financial results. In particular we have had six consecutive quarters of progressively improved results. The fourth quarter 2015 displaced positive EBIT and net profit too. 2015 full year numbers are EBITDA positive, but having said that, we still have work ahead of us to meet our goals. Our entire leadership team is focused on these goals and we are pushing many initiatives necessary to the results. Many thanks. And now Mr. Natuzzi and the management will be pleased to answer your questions.
Operator: [Operator Instructions] And we’ll take our first question from Stefano Rossi with Edmond de Rothschild.
Stefano Rossi: Good afternoon and first of all, congratulation to Mr. Natuzzi and Mr. Notarpietro for these results. I think that as an investor, we’ll start to see some improvement -- visible improvement in the results after few years and this is certainly is not easy in this global environment. So once again congratulations. I have a couple of questions, one is more regarding the strategy. I remember last time when Mr. Natuzzi said that in two or three years he would see his company as more and more a retail company with direct business mostly focused on retail. If it is still the case, of course as of strategy and if these encouraging results, we're starting to see right now are already let’s say a fruit of this strategy or still let’s say more fruit of the heavy restructuring that you’ve done in terms of repositioning some of your point of sales as Mr. Notarpietro said.
Pasquale Natuzzi: Okay. This is Pasquale Natuzzi. Thank you very much for your appreciation of our job. No, strategy is still the same. The goal of our company, our strategy is to become retailer because to manage a brand, the only way is to control the brand and the store is the place where to control the brand and consequently the business. But we have said in priority obviously, we still have something to do on operation efficiency. We still have improvement in the supply chain. We should have a priority, but obviously something we missed, and we apologized, but I’m getting the number now that obviously why will we have shutdown a number of store we've been opening also certainly more stores that we closed. Here are the numbers. So in 2014 we opened 50 stores; 2015, 42 and two so far 2016. So in total we opened 94 stores from 2014 to let’s say last month in February or March. So yes, the strategy is still to continue to develop a retailer business; first to consolidate our presence in country where we have already a good number of stores like Spain, like Switzerland, like France, like U.K. So, the way we are moving as you know identify the country where to grow and how to grow. So we have proper organization to support the growth how much money we need to maximize our retailer presence in each country. That’s the way we are moving in Europe. Then in Asia we have reasonable good presence, but certainly China is one of the country where we are considering to grow and then in United States we are consolidating our presence in the Florida where we have already seven stores. We will open another store in Palm Beach within next June and we are planning to cover also New York, New Jersey and Pennsylvania. Obviously then we’ll follow Texas and also California. Yes, again it's firm confirmation that the retailer is the future of our company.
Stefano Rossi: And this is very good. As an investor, I’m very happy about this sentences because I believe that you have a brand of world awareness in terms of brand that can really help you to take advantage in terms of product. So once again I think from my perspective this is good -- it's a good strategy. I have another question regarding more the -- let’s say the decrease in SG&A cost that has been achieved this year. Do you think that there is more space to continue in this direction or perhaps we've seen most of it given that you mentioned I think Victoria mentioned the cost of leather that went down? Is it what we can expect at the moment or can we expect some more reductions in general terms?
Pasquale Natuzzi: It's something that’s management challenging. We will study in the next few weeks all the individual company because we have a company in Rumania. We have a company I mean, manufacturing company. Rumania, China and Brazil we have our [ternary]. We have our former company Naples and then we have a commercial company in Italy that they run U.S. the store owned by the company in Spain and Switzerland, in England, in America, in Brazil, obviously Russia and China and certainly I’m more than sure we have still space for improvement in cutting down cost and make the company system more efficient. Today with our new IT, let’s say, it’s not really new, but our information technology system that we are used is allowing while the Management at all level obviously is learning more and more how to use SAP a system that allow always to make lean process and accelerate process and use the cost of management of managing those process. Again yes, personally I see still a space for cost reduction.
Stefano Rossi: Okay. In fact my next question has to do with control of working capital that you are mentioning in your press release. How would you -- how would you at that moment, how many days do customers pay, reducing the number of days when you mentioned, reduction of working capital, what do you exactly mean?
Pasquale Natuzzi: Okay, let Vittorio answer to that question if you don’t mind okay.
Stefano Rossi: Yes.
Vittorio Notarpietro: Yes, for us, trade receivables are concern the improvement we have seen in 2015 derived mainly by the two state programs that I mentioned in my speech of trade receivables. So while we continue to focus our attentions on the quality of our customers and payments by the market is what it is, the reduction that we accounted in our books derived from the say, the true sale of sales receivables that I mentioned before.
Stefano Rossi: Okay.
Vittorio Notarpietro: The reason why we were able to sell those receivables is because the quality of those receivables and of client behind those receivables because the Italian Bank who build out the program made an accurate analysis and continue to make a quarterly analysis on the DSO, the quality of payments generally speaking. So since we have a good client portfolio since they are paying in a good way, we are -- we were able to build up this kind of cost dilutive program that's the key message of that program. And we would like to underline the fact that the banking system is appreciating the efforts and the results coming from the latest six quarters because they are following us very closely and they understood that the company is improving day by day, is making a lot of efforts in the efficiency. We're going to recover the competitiveness which is the only way to lay the foundation of our future growth. That’s exactly the plan we are pursuing these days.
Stefano Rossi: Yes, I’m sure that they will be also very happy to see EBITDA positive starting to show in your numbers. And my final question is regarding the visibility of your company and I understand you're coming out of a period which is complicated, it’s long, but when do you think that you’re going around from an investor point of view obviously the more you get exposed to the international community of investors, the better it is because when you have good numbers, the space out there is very difficult to obtain and clearly you need to have good numbers to go out, but when do you think it’s going to be the right time for Natuzzi to go out and do road shows and be visible again?
Pasquale Natuzzi: We are -- this is Pasquale again. Pasquale Natuzzi. Management now is committed to make a business plan until 2020. So we’re working on the '17, '18 and '19 and '20, when we are -- and that should be finished at the end of October. So that's the management commitment. When we're ready with the business plan, we will absolutely plan to do then road show and meet shareholder and the prospect one.
Stefano Rossi: Okay. Thank you so much.
Pasquale Natuzzi: You’re very welcome, thanks.
Operator: [Operator Instructions] And this time there are no questions. We will turn it back to presenters for any closing remarks.
Pasquale Natuzzi: Okay. All right. So I thank you very much for whoever attended this conference call. Next time I would like anyone to ask a question because this is good way to interact and understand your expectation and delivery to you all the answers that you need. So we're here to satisfy the expectation of our shareholder. But anyway, thank you very much for everyone and we are available anytime to answer any question that you may need. Thanks.
Operator: And that does conclude today’s conference call. We appreciate your participation.